Operator: Good afternoon, everyone and thank you for participating in today’s conference call to discuss Profire Energy’s Third Quarter 2018 ended September 30, 2018. Joining us today are President and CEO of Profire Energy, Brenton Hatch and CFO, Ryan Oviatt. Before we begin today’s call, I would like to take a moment to read the company’s Safe Harbor statement. Cautionary note regarding forward-looking statement. Statements made during this call that are not historical are forward-looking statements. This call contains forward-looking statements, including but not limited to statements regarding the company’s future business development activities, expansion into international markets, the release of new products, the expansion into other markets that new product certifications will add significant value to the company, additional capabilities of existing products, the potential of international markets, future financial performance, and the company’s ability to deliver products to the market faster. All such forward-looking statements are subject to uncertainties and changes in circumstances. Forward-looking statements are not guarantees of future results or performance and involve risks, assumptions and uncertainties that could cause actual events or results to differ materially from the events or results described in or anticipated by the forward-looking statements. Factors that could materially affect such forward-looking statements include certain economic, business, public market and regulatory risks and the factors identified in the company’s periodic reports filed with the Securities and Exchange Commission. All forward-looking statements are made pursuant of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. All forward-looking statements are made only as of the date of this release and the company assumes no obligation to update forward-looking statements to reflect subsequent events or circumstances, except as required by law. Readers should not place undue reliance on these forward-looking statements. I would now like to remind everyone that this call is being recorded and will be available for replay through November 15, 2018 starting later this evening. It will be accessible via the link provided in yesterday’s press release as well on the company’s website at www.profireenergy.com. Following the remarks by Mr. Hatch and Mr. Oviatt, we will open the call to your questions. As part of the question-and-answer session, Mr. Hatch and Mr. Oviatt will be joined by Profire Energy’s Chief Business Development Officer, Cameron Tidball and Vice President of Operations, Jay Fugal. Now, I would like to turn the call over to the President and Chief Executive Officer of Profire Energy, Mr. Brenton Hatch.
Brenton Hatch: Thank you very much. Good afternoon. Thank you for joining us on this call and for your interest in Profire. Throughout the past quarter there were several headwinds within the oil and gas industry. Despite those challenges we were able to realize some great success. This quarter was the company's second best fiscal quarter in nearly four years. So far this year is on track to be our most profitable year in company history and the second best year in terms of revenue. Revenues are up over 14% to $11.5 million versus the $10 million we recorded in the third quarter of 2017. As we previously announced last quarter we believe the oil and gas market is returning to the normal seasonality we incur in our business. The summer months are lower producing months for Profire while the winter months have historically proved to be stronger our revenues thus far have followed this cyclical nature. Net income is up nearly 36% when compared to the same quarter last year. Our legacy products which mainly served the upstream oil and gas sector continue to be the main revenue driver for Profire. This technology is now almost universally accepted by the industry. We estimate that there are approximately 65,000 of these Profire systems installed. These systems have melded Profire's internal objectives with those of our customers by accomplishing increased safety, compliance, and efficiency. Although most operators and producers choose to use our products we continue to add new customers each quarter. This past quarter sales to new customers amounted to nearly a $0.5 million. In the past quarter, we focused on investment strategy in other areas to help achieve some long-term goals. We continue efforts in developing our international go-to market strategy. We are focusing on developing relationships in the Middle East, Asia, and South America. As they follow on from what we reported last quarter when we hosted international industry players in the coming weeks we will be visiting some of the upstream, midstream, and refining possibilities in Asia. We will be assessing opportunities for Profire Technology to integrate into existing processes and infrastructure. This initiative is a critical component of our five-year growth plan. We also continue to identify more opportunities for our newer product the PF3100. We are in the process of building a dedicated business development team for this product. We anticipate that initially this team will consist of three to four employees and will evolve further as the PF3100 market unfolds. In addition to the PF3100 sales force expansion we are training our existing sales and service team on this and other new products that we plan to announce later this year. These products are being developed pursuant to feedback from our customers. Our new products are designed using our recently developed functional safety process to be user-friendly and performance driven. Profire will continue to provide much needed automation solutions within the industry. Our corporate beliefs and strategic initiatives have positioned us well to further enable investments in areas that will positively impact the company in the coming years. With that said I'll now turn the time over to Ryan Oviatt our CFO to discuss the financial results of the quarter. Ryan?
Ryan Oviatt: Thanks, Brent, and thanks again to everyone joining us today. Yesterday, after the market closed, we filed our 10-Q with the SEC and discussed the quarter's highlights in a press release. As always, both of those documents are available on the Investors section of our website. The transcript of this call will be posted in the coming days. Let's begin by looking at the income statement. In the quarter, we recognized $11.5 million in revenue, which is an increase of over 14% from the same period a year ago. This increase is largely attributed to our ability to leverage our expanding customer base with our current sales team. We realized an increase of sales in nearly every location throughout the U.S. and Canada. Oil prices have increased 2% this quarter from an average of $68 per barrel in the second quarter to $70 in the third quarter. With the increase in revenues, our gross profit increased to $6.1 million or 53% of total revenues as compared to $5.1 million or 50% of total revenues in the year-ago quarter. Gross profit margins fluctuate slightly each quarter due to product mix changes, direct labor costs and adjustments in our inventory and warranty reserves. Total operating expenses were approximately $3.7 million or a 15% increase from the same quarter last year. This increase is primarily due to hiring additional employees and investment in R&D. Operating expenses for general and administrative increased 15%, R&D increased 19% and depreciation increased 14% as compared to the same year-ago quarter. The increase in expenses is primarily due to higher labor costs to meet the increase in customer demand and employee retention. R&D expenses increased year-over-year to achieve the SIL certification requirements and for new product development. Total other income during the period was roughly $128,000, the majority of which was attributable to interest on investments and the sale of fixed assets. Our net income was $1.7 million or $0.03 per share compared to net income of $1.2 million or $0.03 per share in the same quarter last year. Net income is up 36% over the same quarter a year ago. Now let's look at the balance sheet. Cash and liquid investments totaled $22.2 million as compared to $24.3 million at the end of 2017. So far this year, we've purchased $4 million of Profire stock and concluded a land purchase for a new facility in Canada. We were once again able to demonstrate positive operating cash flows for the quarter and remained debt free. Inventory levels increased to $10.4 million from $6.4 million at the end of 2017. The increase is a result of the industry-wide trend for longer lead times on certain items combined with the slowdown in product sales over the summer months of the second and third quarters. Our operations team continues to work proactively with vendors to ensure timely delivery and to eliminate single-source items where possible. The inventory on hand allows us to respond quickly to customer demand, which, over the years, have distinguished Profire from the competition. Our accounts receivable collections remained strong and the balance of accounts over 90 days old was only 4% of total accounts receivable compared to 13% at the end of 2017. We continually seek opportunities that could help further our strategic goal and currently have the resources to make investments that will be beneficial to Profire. Our management team works to allocate spending to meet market demand and to accelerate growth. With that, thanks, and I'll send it back to you, Brent.
Brenton Hatch: Thanks, Ryan. Throughout the quarter, we continue to focus on our cost management and investment plan to allow us the flexibility to make strategic investments and the ability to quickly respond to opportunities as they arise. The price of oil in the quarter averaged $70 per barrel. Drilled with uncompleted wells or DUCs have increased by nearly 32% year-over-year average. The DUCs represent deferred revenue for Profire, much like a backlog. These wells will be completed at some point in the future, and many will require thermal equipment that provides a market for Profire burner management systems. Despite the quarterly swings, we believe the industry continues to improve and is positioned for further growth in coming periods. The oil and gas industry saw a slight dip in completion activity during the quarter. Consistent with most years, many of our customers are evaluating their CapEx budgets for the remainder of 2018. Some customers are focusing on improving their balance sheets, share repurchases and dividend payout. Other customers are committed to their original CapEx budgets as outlined at the beginning of the year and will continue to complete wells through Q4 and into 2019. Profire increased revenues in the third quarter despite a sequential slowdown in the industry. On a year-over-year basis, we have dramatically improved our position and are on target for Profire's best year in terms of profitability. With this year-over-year growth, we plan to expand our product offerings and continue to actively pursue M&A opportunities and international expansion. Last quarter, we announced that we purchased land for a new facility in Alberta, Canada. This facility is, in large part, designed to improve the working conditions and resources available to our research and development team. We plan to continue to invest in R&D throughout the year to bring products to market faster and generate ideas for innovative technologies. Our legacy products continue to perform well and are the core of our business. We have other products, such as the PF3100 and CMS products that we believe will be significant contributors to our 5-year growth plan. Our PF2100, which is so widely embraced today, involved similar challenges within the industry adoption cycle that we are experiencing with these new other products. Nevertheless, we are determined to expand our sales force to focus on these new products. Our core values and strategies, involving cost management and remaining debt-free, have allowed us to see great success throughout the industry recovery. Our anticipated performance in 2018 is providing a solid foundation for additional investments in 2019 and beyond. Earlier this week, we announced, by a press release, that our Board of Directors authorized another share buyback plan. We believe that our stock is a very attractive investment, and we plan to execute this buyback throughout the coming year to add value to our current shareholders. In the same press release, we announced that our CFO, Ryan Oviatt, has been appointed to the Board of Directors to fill the seat vacated by Harold Albert. Ryan's leadership since joining Profire has been exceptional, and his insight and expertise make him a welcome addition to the board. The execution of our core strategies will enable continued growth in the coming periods. Our current fiscal position allows us to react quickly to market demand. We plan to invest in R&D, in international markets and in other areas that we believe will drive growth. In January, we plan to provide an outlook for 2019 and how we plan to achieve our internal goals for growth. I want to thank all of the Profire team members that worked tirelessly to improve this company. We trust that they will continue to perform at a high level and meet or exceed our expectations. Thank you, and we will now open up the call to questions. Operator, would you please provide the appropriate instructions so that we can get the Q&A started?
Operator: [Operator Instructions] Our first question comes from the line of Rob Brown with Lake Street Capital.
Rob Brown: First of all, I just wanted to kind of talk to the DUC situation and kind of the new products and how that kind of combination of those 2 can impact '19? Do the DUC start to open up early in the year? Or does that take kind of time throughout the year? And I know it's hard to project, but sort of how does 2019 roll out?
Brenton Hatch: I'd say it's a little tough at this point to project. The DUC count keeps increasing and has, and obviously, we're aware of some of the issues in the Permian and so on that are contributing to this. But we feel like there's a degree of optimism that we haven't felt for some time, months, the -- some of the larger companies, the -- both the larger service companies and the E&Ps. That would suggest that 2019 could be a pretty good year in that regard.
Rob Brown: Okay, good. And then in terms of the 3100, how -- what sort of the latest there in terms of customer trials? And where are they at in terms of expanding?
Brenton Hatch: That's a really good question, the one that I'm sure a lot of people are interested in, and we're watching very carefully. Cameron, would you take a minute and speak to us about where we're at on the 3100?
Cameron Tidball: You bet. So with regards to the question surrounding trials, from our core product that we launched a couple or 3 years ago, we're no longer in trial phase. Customers have adopted it. We've seen an increase in the number of projects this year year-over-year to the tune of trending to be that 25% to 30% higher for the number of projects. We also see an increased number of customers giving us repeat orders as well as new customers coming on board. So we've had a nice growth year for that, and we look to see that continuing going into '19 and beyond. In terms of the SIL certification, which we had announced that we would be putting that SIL software into some trial situations to bring it on slowly. We've had great success with it. We're now to a point where we feel that we can push forward into more complex application. And so with the advent, the additions of team members that we're planning to add to the 3100 business development team, we'll just be more focused into that area. But I would say for the most part, customers are not traveling with 3100 anymore, it's life.
Operator: Our next question comes from the line of Jim McIlree with Chardan Capital.
Jim McIlree: Brent, I was hoping you could expand a little bit on the reasoning behind the business development team dedicated to the 3100. Is -- I guess, the glass half empty would be, you need that because you just haven't had a lot of success with it. The glass half full would be -- is that you need it because it's about to accelerate. And I'm just hoping you can tell me, which glass I should drink for.
Brenton Hatch: I'd go for the second one for sure. The -- it is for sure half full and a little bit more. One of the differences of course in the -- between the 3100 and the 2100, the traditional product, is that the traditional one is primarily upstream. The 3100, the focus is more midstream and downstream, where we don't have as many contacts, where we haven't done as much work, haven't developed through our traditional sales force as much. And it's a whole new technology. It goes into quite different setting. It goes into forced-draft, forced-air situations that are not typically present upstream and so on. So it is a different game altogether. And we are very optimistic about the opportunities down there, and especially, now that we have the SIL rating, we feel like there's great potential. Now one of the challenges we've had, Jim, in developing this new sales vertical is finding people that we feel are qualified that can hit the ground running. We're not just looking for any salesman to step into this thing, but we want people that are totally qualified as that know the markets that know the contacts there, they have the relationships. And that's taking us a little while to find just the right people. But we seem to be identifying 2 or 3 that could potentially be very good. But it's -- the glass is definitely half full. We're looking at augmenting things there significantly. But because it is a different market, we've had to go to a different sales vertical.
Jim McIlree: And I think in prior conversations, we've -- or I've suggested that you'd probably see a more meaningful impact from the 3100 in the second half of 2019. Is that still a reasonable time frame to think about the 3100 being a more significant contributor to revenue?
Brenton Hatch: Well, we think so. It's -- and your observation is accurate in that it take some time. It's taken us a while, obviously, to achieve the SIL status, the SIL rating. But now that we have that and the -- essentially gone through the field trials, as Cam was suggesting, if we are ready to hit this a little bit harder and -- but it takes some time because it -- typically, these products go into longer-term projects. They aren't an overnight kind of thing, ship us a unit and we'll install it tomorrow. They engineer -- they have the engineer these projects that they're own, and it takes some lead time. So yes, in answer to that question, I would think that towards the end of next year, we'll definitely see some increased movement in terms of the sales, the sales process will start right away. But in terms of the sales themselves, it'll probably get energized towards the end of the year.
Jim McIlree: Okay. That's helpful. And then also you talked a little bit about international distribution, and I was a little bit confused as to whether or not you were talking about the 2100, 3100 or both as candidates for international sales?
Brenton Hatch: Well, I would say that the answer to that is both for sure. But let me have Cam speak to that. He's been quite actively involved in this business development arena, especially internationally. Cam, can you speak to this for a minute?
Cameron Tidball: Yes, definitely. The start we want to take is to go with what we're most familiar with, and that is the upstream business; high-volume, transactional-type sales; get distributors, customers used to the Profire brand, used to the Profire performance. That being said, we have already moved some 3100 projects overseas through distributors. But we'll start mainly with the 2100 and potentially some of our new products that are -- will be coming out here in the upcoming months. But it is definitely both, but the focus will first be the core legacy upstream business-type products.
Jim McIlree: And Cam, is that -- it's mostly distribution in international markets? Is that correct? Or are you thinking of adding a Profire employee dedicated to some geographic area?
Cameron Tidball: Yes. Initially, we want to go the distributor route out or agent route or a combination there. We're not closing our minds completely to a dedicated-type resource in the international play. We wouldn't -- we don't want to have an army of people that are in North America that are just traveling all the time. We will look to be augmenting the team with some resources that'd help to quantify those markets and support it. But the distributor route is more comfortable. However, we're not closing our mind to other opportunities. So far, in the markets we're looking at, South America, Asia, Middle East, that was our distributor based. However, we do have a couple of opportunities that potentially could turn into a Profire employee. But there's a lot of logistics and legalities that go around the setting of businesses in those areas, and we wouldn't jump into it anything too hastefully.
Jim McIlree: Okay. And then my last question is, can you just give us an update on CMS?
Brenton Hatch: Sure. I guess I can do that. Actually, this quarter wasn't particularly good in terms of sales, again. But what we were very energized by, we -- first of all, before I even get there, let me say that these -- the sales of the CMS are following in large part the process that we went through in establishing the sales of the BMS in the U.S. It took us years to have the first people trial this and then eventually they worked it into their follow-on years by just and so on and so on. And now of course, we're almost universally accepted with our BMS system, and it seems to be following the same pattern. What we were energized by as I began to say was the numbers of the amount of interest in and indeed the number of orders in the third quarter, which will be fulfilled in the fourth quarter. And although, the numbers aren't huge, we have already looked at a dozen or so POs and are potentially -- we have yet more to go in the fourth quarter. So we're very optimistic in the fourth quarter and the beginning of next year, based on our pipeline, are going to show some significant improvement over where we've been.
Operator: Our next question comes from the line of John White with Roth Capital.
John White: I couldn't believe you said you weren't going to quantify the CMS sales. That's very unlike you. Usually, you are giving us everything. Show off those high numbers.
Brenton Hatch: One of the problems is that I have our in-house attorney sitting here, grasping my left arm, and trying to twist it a little bit. I have to be just a little careful today.
John White: Understood. And Ryan, congratulations on your election and appointment.
Ryan Oviatt: Thank you very much.
John White: So I want to go back over what Cameron said about the 3100, the legacy 3100, does that mean non-SIL 3100s?
Cameron Tidball: Yes. So non-SIL as well as being done or being used in applications where, you could use a 2100 or perhaps there is just a few little pieces of IO that you need to bring in that would bump you up into that area. That's what we would quantify as that, yes.
John White: So your legacy 3100 sales are up between 25% and 30% year-over-year?
Cameron Tidball: Number of projects. Yes, so the number of projects that we've completed is in that -- is trending towards that. But it's not all legacy there, we've increased our midstream type application installations as well, year-over-year.
John White: Because that was my understanding, the SIL 3100 is aimed for -- as you said, the midstream, downstream and refining petrochem and...
Cameron Tidball: Correct.
John White: And you said the field trials for that product are completed and were successful.
Cameron Tidball: Yes, where we trialed them though, we -- you obviously -- you wouldn't want to try that software in a downstream facility. And although we had great confidence in the certification, the process, the software. We wanted to try it first in some, I'll call them less critical or noncritical applications. Your line heaters, your dehydration packages, et cetera. But that is what we've been working on this last quarter is getting as many of those out as we can, and we've had great success. So what it does now is it affords us the confidence, increased confidence I'll say. So that when we do plan some of these downstream projects, we'll have a stable software like we do on all of our other applications.
John White: Okay. So no trial -- no field trials for midstream or refinding?
Cameron Tidball: Correct. Yes, that's correct. Yes.
John White: Well, I can understand wanting to try it upstream first without -- where you got maybe 500 barrels a day instead of 300,000 barrels a day.
Cameron Tidball: Yes, you don't want to knock down a plant. But I should say though, I should clarify, we do have midstream customers that are using the 3100 with SIL software, and they weren't put in as trials, we were comfortable to sell it. But no downstream trials. Haven't done that.
John White: Okay, so you have some midstream customers this year for the 3100 that you didn't have last year.
Cameron Tidball: Correct. Absolutely.
John White: Great. And as on your -- you said, the CMS sales are following the same kind of path as the BMS. That makes sense to me. I've been talking to some people out in the field [let a low land]. From my understanding, the same pumpers and foremen that managed the production and the burners are also the same people that manage the chemical injection.
Cameron Tidball: Yes. In the upstream business, for the most part, you're absolutely correct. We see a great overlap in those areas. They're in charge of both.
John White: And Mr. Hatch, are you going to announce any new products toward the end of the call? Or are we going to wait for that for the fourth quarter?
Brenton Hatch: Christmas isn't here yet. So we think we'll just wait for a little while longer, but we're getting really close. No, we won't do it on this particular call, but we are really liking what we're seeing coming out of our R&D department. We think that there's some great reasons for optimism here. But we will be announcing that in the coming months for sure, John.
Operator: Our next questions are from the line of James Jang with Maxim Group.
James Jang: So I have a couple of quick ones, hopefully. So coal prices, they tend to be trending downwards, doesn't seem like good news heading into budget season. Are you guys worried that next year's CapEx budgets will be a little lower than expected?
Brenton Hatch: We -- we're a little unsure at this point. For perspective, the budgets that were planned for last year were based on $50 oil by the E&Ps. And although they are down $61 today -- $61 plus, we feel that's positive. And we also feel that they are able to, at these rates, make some significant returns. It's -- they were getting some pretty good returns on even sub-$50 for most of these companies. And so we feel like they will -- there's, again, a reason for some optimism. It may very well affect it and they may have budgets that are contingent on the oil price staying here or maybe going up. But again, keep in mind that our products don't always sell directly based on oil price, they in -- there are some differences in terms of our sales as it relates to the overall price of oil.
James Jang: Brent, maybe I can just add to that. I think the average price for the year is probably somewhere in the mid to upper $60s. So significantly better than what they budgeted for. And because of that, many of the E&P companies that have -- looking through their reports for Q3, have all talked about significant debt reductions, increased dividends to shareholders and significant share buyback. So even though this year has been relatively good, and it's been -- we're on track for our second best year in company history. There's been a lot of money that's been put to housecleaning for these E&P companies. So we're somewhat optimistic that those efforts this year will translate into some higher CapEx and other exploration type activities next year. We're also looking to what these companies are putting out for their budgets, we're working closely with our customers and right now, and will for the next month or so as we are planning and preparing our budgets and forecasts for next year. I think there's still some more that's going to come out from these companies in the next several months as far as these projections are concerned.
Brenton Hatch: The other thing that we anticipate is that as things progress along, there will be some improvements in infrastructure in the Permian, for example. And all of this build up of DUC will start to be reduced as they are completed and come on stream. The other thing we're a little unsure of is the world market and none of us really know the effects of the whole Iran situation and so on. No, we think that they will be hedging a little bit perhaps but there's a reason for optimism for us in terms of what we're looking forward to.
James Jang: Okay. And so this is something I've been tracking, which is the capacity in the Williston. So it looks like there's a lot of excess rail capacity right now due to the tariffs on soy. Have you guys heard or seen more orders coming from North Dakota?
Brenton Hatch: Good question, Cameron. Can you answer that?
Cameron Tidball: Yes. We've been pretty steady for the most part for the fiscal year kind of above budget, above target. However, we feel that coming Q1 through Q2, that's about as far as we can see so far in the Bakken, the Williston Basin there. We see a little bit of an uptick coming there. Things are looking very positive for us.
James Jang: And are these just for the 2100? Or have you seen even more orders there for CMS or 31?
Cameron Tidball: We do have -- the main interest there has been the 2100 product line, some preventive maintenance programs have been some interest. We do have 2 of our focused opportunities for CMS, we are pursuing there with 1 major E&P and then 1 smaller E&P. 3100s, we do have among some frac heaters there, not a lot of plant applications there for it.
Operator: [Operator Instructions] Our next questions are from the line of Dean Trottier , private investor.
Dean Trottier: Most of my questions were answered. I was hoping you could give me a little bit of color on what the potential of the international market could be several years down the road?
Brenton Hatch: I'm really good at passing questions off to Cameron this morning but he's been quite involved in this and one of the things I will say, Dean, is that we noticed quite an increase in requests for quotes and that sort of thing on a very regular basis of late. And we -- based on what the other large Halliburton kinds of companies are seeing, there seems to be a significant increase and even a focus for them on international possibilities. But Cam, do you want to address that?
Cameron Tidball: Yes, definitely. So often we all have to look at, what is the overall demand for the world? And do I see an international market for new development being as big as the United States and then all of a sudden we have double the demand? Nobody sees that, right? That's not going to happen anytime soon. However, what I think exists and what we believe exists is there will be a large opportunity for retrofitting in existing international fields, especially in places like South America, Asia and Middle East and some of these other places where the technology has not been readily available. Now you go to Europe, of course, they're going to be ahead of North American standards and they are going to have things. But the places where we believe the most drilling is, topography, geology, whatever, that matches shale plays of North America, we believe there's a strong potential for a retrofit market similar to what we've had in Canada and the United States. In terms of new drills, well, we already see that we -- hardly a day will go by when we don't get an inquiry for an international type sale. And these are smaller of course because they're getting used to us, things like that. But the big potential and impossible really to quantify right yet -- we are working on it. But that retrofit market, we believe, could be a significant opportunity for Profire. So that's the focus right now, to determine what that is. To give you a number, can do it yet. Working on it, though.
Dean Trottier: Okay, that's helpful. And then any idea kind of headcount for 2019? Are you looking at any major kind of sales hires or shuffling or anything like that?
Brenton Hatch: We've heard so little from Ryan today that I think we should have him take that one on.
Ryan Oviatt: Yes. We're going through our budgeting process right now and we're looking at various options and scenarios for 2019. So we're still working to determine that. Don't know that I can necessarily give an answer there. We have talked here on the call a little bit about the expansion of the 3100 sales team so there will be some expansion there. Some of it will also be determined by based on what we see, the revenue potential to be for our business next year based on what our customers are forecasting, where we see CapEx projections for next year. So we are working through that right now and as we mentioned in your prepared remarks, we are planning to give an update on the outlook for 2019 in January. So we will have more information as that approaches in that communication.
Dean Trottier: Okay. That's great. One last question and it's -- it might be tough to answer. But in the international market, sort of what kind of technology on the retrofit -- with the retrofit focus, like what kind of technology are the customers using now? Is it, what North America was using several years ago before the burner management sort of took off?
Cameron Tidball: I can tackle that one.
Brenton Hatch: Yes, go ahead.
Cameron Tidball: Yes, so if you go to, depends where you go. Because if you go to Albania, which has very similar I guess oil infrastructure in terms of what comes out of the ground, sorry, to that of heavy oil in Lloydminster, Alberta, in Saskatchewan. You are going to see probably 10 Albanians running around with rags on a stick. And that's not to be crude or mean. That's just what it is. If you go to Russia, it's going to be -- if you get a pipeline leak, they're going to throw a torch into it to burn it up instead of fixing the pipeline. Now we are seeing the world evolving and getting better. It wasn't even 10 years ago that we had the same situation in the United States. Now, we didn't have 10 people running around with rags and sticks, but we did have that. So what exists? You're going to have a variety of old Honeywell 7800, burner management, you're going to have a variety of Piezo ignition sticks or cattle prods or rags on a stick. You are going to have some Profire in major facilities. You're going to have some of our competitors here and there. We know that India and Pakistan, they have used the competitor, they don't have a lot of it. But you'll find even some of our legacy 1100 product. For the most part, though, we believe you're going to see the status quo that was in the United States and Canada years ago: Just manually lighting these systems. If they blow out, they blow out, we will get to them when we get to them, causing danger and inefficiency. So that's -- you will see a large variety of different ways of lighting burners. Except in Europe. In Europe, you will find technology similar to North America if not more -- not more advanced but a different way of doing it, with Autoflame, et cetera, as a competitor.
Operator: This concludes today's question-and-answer session. I'd like to turn the floor back over to management for closing comments.
Brenton Hatch: Thanks so much. Thank you everyone for joining us today on our call and to discuss the results of the third quarter of Profire 2018 third quarter. We'd like to thank each of you for your continued support. We will be available of course to anyone for calls to discuss any questions that you might have. As always, feel free to contact us. Thank you, have a great day everyone.
Operator: That concludes today's teleconference. You may disconnect your lines at this time. And thank you for your participation.